Operator: Good day ladies and gentlemen and welcome to the third quarter 2010 Medical Properties Trust, Incorporated earnings conference call. I will be your operator for today. At this time, all participants are in listen-only mode. We will conduct a question-and-answer session towards the end of this conference. (Operator Instructions) As a reminder, this call is being recorded for replay purposes. I would now like to turn the call over to Mr. Charles Lambert, Director of Finance. Please proceed, sir.
Charles Lambert: Good morning. Welcome to the Medical Properties Trust Conference Call to discuss our third quarter 2010 financial results. With me today are Edward K. Aldag Jr., Chairman, President and Chief Executive Officer of the company; and Steven Hamner, Executive Vice President and Chief Financial Officer. A press release was distributed this morning and furnished on Form 8-K with the Securities and Exchange Commission. If you did not receive a copy, it is available on our website at www.medicalpropertiestrust.com, in the Investor Relations section. Additionally, we are hosting a live webcast of today’s call, which you can access in that same section. During the course of this call, we will make projections and certain other statements that may be considered forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to known and unknown risk, uncertainties and other factors that may cause our financial results and future events to differ materially from those expressed in or underlying such forward-looking statements. We refer you to the Company’s reports filed with the Securities and Exchange Commission for a discussion of the factors that could cause the company’s actual results or future events to differ materially from those expressed in this call. The information being provided today is as of this date only and except as required by the federal securities laws, the company does not undertake a duty to update any such information. In addition, during the course of the conference call, we will describe certain non-GAAP financial measures, which should be considered in addition to, and not in lieu of, comparable GAAP financial measures. Please note that in our press release, Medical Properties Trust has reconciled all non-GAAP financial measures to the most directly comparable GAAP measures in accordance with Reg G requirements. You can also refer to our website at www.medicalpropertiestrust.com for the most directly comparable financial measures and related reconciliations. I will now turn the call over to our Chief Executive Officer Edward Aldag.
Edward Aldag: Thank you, Charles and thank all of you for listening in today. The third quarter of 2010 was an exceptionally busy quarter for Medical Properties Trust. While most of the activity in the third quarter will be reported all in the future quarters our entire team has been deeply involved with numerous underwriting and due diligence assignments for potential acquisitions. As has been our policy in the past, however, we will not comment on the details of any acquisitions until the transaction has been completed. We’re excited about what we have in the works and look forward to more announcements soon. I’m sure each of you has read this morning’s press release and saw where we closed on the acquisition of a development hospital in Florence, Arizona. This facility will be an emergency room focused, acute care hospital leased annuity run by the visionary group. This group has very successfully developed and operated a similar facility in Gilbert, Arizona. Construction has already commenced and should be completed within the next 12 to 15 months. MPT’s total investment is approximately $30 million with a good double-digit going in cash cap rate. We believe that this will be the first of several acquisitions with this group. I’m also pleased to announce that we’ve made tremendous progress on both campuses of the River Oaks Complex in Houston, Texas. As you all know, these two facilities were closed approximately two years ago as part of the HPA liquidation and then we were hit by hurricane Ike a few months later. This past month we completed the sale of a smaller South campus for approximately $3 million. In addition to the sales proceeds, the disposition will save MPT approximately $700,000 in annual property expenses and untold savings in man hours and distractions. Also, after working through the web of coordination efforts with the state of Texas, which by the way has been very helpful. Insurance companies, contractors and multiple tenants, we’re pleased to report that we have begun the renovation and restoration of the much larger and much more valuable North campus of River Oaks. From this point forward, this facility will be known as the River Oaks Medical Center and will be a multi-tenanted hospital facility. The facility is expected to house an LTAC in-patient rehabilitation facility and ASC along with other ancillary services. When completed our total GAAP investment in the River Oaks Medical Center will be approximately $45 million. Our total return on this facility is expected to exceed our rent we were collecting on the north and south campuses combined. Renovations are expected to be completed in late 2011. Our total investment thus far in 2010 have been slightly more than $128 million leaving only approximately $22 million left to meet our 2010 targets. As I’ve mentioned previously, we remain confident we will meet the 2010 target of $150 million and expect our 2011 acquisition activity will return to our track record levels prior to the world economic recession of at least $300 million. Our existing portfolio properties, which as you know spreads across the country from coast to coast continues to perform very well. Our EBITDA released coverages continue to be some of the strongest coverages in the REIT industry. In our hospital portfolio, on a trailing 12 months 2010 third quarter over 2009 third quarter, coverage was up 4% to 6.61 times. Trailing 12 months Q2 over Q3 coverage fell slightly by 2% and our rehab hospital portfolio on a trailing 12 months 2010 third quarter over 2009 third quarter, coverage was up 2% to 3.11 times. Trailing 12 months Q2 over Q3 fell slightly by 4% and our LTAC portfolio on a trailing 12 months 2010 third quarter over 2009 third quarter, coverage was up 4% to 2.26 times. Trailing 12 months Q2 over Q3 coverage rose by 5%. Remember that the third quarter has historically been the slowest quarter of the year for hospitals so to have two of our segments followed by only slightly quarter-over-quarter and one rise is very encouraging. And when you include the fact that all three segments rose year-over-year you continue to see the strength of our properties. Another barometer for the health of our properties is utilization. Across the board our acute care hospitals saw an increase in admissions year-over-year of 2.5% while the post-acute care facilities saw an increased utilization of 9.5%. An additional indicator is the direction of bad debt. Our centers as a whole saw a decrease year-over-year in bad debt of 2.8%. All of our publicly reporting tenants that have reported thus far have also reported good growths in EBITDA. In addition, only one of our publicly reporting tenants saw a slight decrease in their utilization. To summarize, our acquisitions are right on tact (ph) with good expectations for remaining of the year and a return to more normalized acquisition levels in 2011. Our portfolio continues to perform at superior rates with our overall portfolio EBITDA released coverage of more than five times. With performance of our existing properties, the activity of our acquisitions and the strength of our balance sheet, we look forward to finishing out a very successful 2010. Steve?
Steven Hamner: Thank you, Ed. Good morning everyone. I’ll briefly run through the highlights of our third quarter 2010 financial results and then we’ll open up the call for your questions. For the third quarter of 2010, we reported normalized FFOs of approximately $16.5 million and AFFO of approximately $16.9 million or $0.15 per diluted share for each measure. This is in line with our outstanding guidance after adjusting for certain non-routine items primarily consisting of property related expenses of about $600,000 or a penny per share. Excluding this item the per share calculation was $0.16. As Ed has already described, during the quarter, we agreed to sell the Sharpstown property and commenced redevelopment of the River Oaks facility, so we do not expect to incur these types of expenses going forward. Net income for the three months ended September 30 was $8.9 million or $0.08 per diluted share compared with $10.4 million or $0.13 per diluted share for the year ago period. Net income includes a gain on disposition of real estate of approximately $1.5 million related to the substitution of one of our properties that is under a master lease. Accounting for this transaction also required us to write off approximately $200,000 in previously accrued straight line rent. We also determined that it is more likely than not that the existing tenant in our Monroe Hospital will not remain the tenant for the entire remaining life of the lease, so we wrote off approximately $2.5 million of previously accrued straight line rents. In comparison of these results to those of the same period a year ago, the per share amounts were affected by an increase in the weighted average diluted common shares outstanding to $110 million for the months ended September 30, 2010. This is up from $78.7 million for the same period in 2009 and this is primarily due to the common stock offering of $29.9 million shares completed in April of this year. I’ll briefly review our present capitalization and commitments. During the quarter, we repurchased about $12.5 million of our 2011 six and an eighth percent exchangeable notes. That leaves only $9.2 million of these notes to be repaid between now and November 2011. We added $30 million to our revolver capacity by exercising our right to increase that facility by up to $75 million. We presently have a total $330 million commitment on which we have not drawn anything. We also have a full undrawn second revolver that provides for borrowings of up to about $40 million. As of November 4, the company has approximately $425 million in available liquidity through cash balances and credit facilities, or investment in new hospital real estate including approximately $100 million in cash. This morning, we announced our agreement to develop the approximately $30 million hospital in the Phoenix area and the total liquidity of $425 million is net of that amount, which we expect to be expended over the next approximately 18 months. Today we are operating with a very low debt ratio of 22% of net debt to gross real estate assets and our net debt to recurring EBITDA on our last quarter annualized basis is only 2.6 times. We have no near-term debt maturity issues and we have substantial access to liquidity in order to pursue attractive investment opportunities in healthcare real estate. We expect the leverage levels to increase in the near term as we execute pending acquisition and development agreements. Moving to guidance, historically our policy has been not to provide estimates of future quarterly financial results. We have provided estimates of annualized FFO based solely on assumptions about a specific portfolio and that’s what we have done again this quarter. Based solely on the September 30, 2010 portfolio, the company reiterates its previous estimates that normalized FFO per share would approximate $0.60 to $0.64. The company further continues to estimate that its existing portfolio of assets plus approximately $425 million of assets expected to be acquired with available liquidity would generate normalized FFO between of $0.94 and $0.97 per share on an annualized basis once full invested. This estimate assumes that average initial yields on the new investments will range from 9.75% to 10.5%. This range of yields is supported by the transactions that we have completed this year including the Phoenix Hospital that we announced this morning and the transactions that are presently in late stages of negotiation. Total debt to gross real estate value subsequent to acquisition of the new properties is expected to approximate 43%. These estimates do not include the effects, if any, of cost and litigation related to discontinued operations, real estate operating cost, interest rate swaps, write offs or straight line rent or other non-recurring or unplanned transactions. In addition, this estimate will change. If the $425 million in new acquisitions are not completed or such investments initial yields are lower or higher than the range of 9.75% to 10.5%, market interest rates change, debt is refinanced, assets are sold, other operating expenses vary or existing leases do not perform in accordance with their terms. The estimate also includes an estimated general and administrative expense of approximately $5.5 million to $6 million per quarter of which $1.5 million is non-cash share-based compensation expense. Included in G&A this quarter is approximately $365,000 in acquisition cost related to successful and expected successful acquisitions. As we mentioned in our last quarter’s call, this reflects a new accounting pronouncement that requires such cost that previously were capitalized into the cost of the acquired asset to be expensed in the period incurred. Our future quarterly estimate of G&A does not include any such cost. Finally the estimate excludes other unique and non-routine items of income and expense such as write offs or straight line rent, asset impairments, property sales, lawsuit recoveries and other items. That concludes our prepared remarks for today. I will now turn the call back to the operator and he will open it up for any questions that you may have. Operator? The operator is queuing the calls. Operator, are you with us?
Operator: Your first question comes from the line of Jerry Doctrow with Stifel Nicolaus.
Jerry Doctrow – Stifel Nicolaus: Thanks. Just a couple of things and congratulations on getting some of the River Oaks stuff moving along I guess or out of the way. I think you said on Phoenix it was going to be 18 months till that is completed. I think that’s what I heard Steve say. And income in the interim or do we see that return basically when the property is finished?
Steven Hamner: Well, there is income because we’re accruing on the advances day to day but that’s not recognized until we actually put the property in operation.
Jerry Doctrow – Stifel Nicolaus: Okay. You had sort of a kind of a double digit yield and can you give any more specifics just about where the yield is on that cash yield?
Steven Hamner: We’ve done that in the past Jerry but we recently decided that it puts us at a disadvantage competitively. So I think Ed gave a pretty strong hand that it was strong double digits. You know the range that we’ve given 9.75% to 10.5% and I can just say it’s in excess of that range.
Jerry Doctrow – Stifel Nicolaus: Okay, and then on River Oaks sort of the same thing. What’s the timeframe for completion, when might we start seeing rent sort of come in on that property?
Edward Aldag: Actually we have done in phases Jerry with the entire thing completed in late 2011, but the first phase ought to be completed in the early part of the summer at which time you’d start seeing the rent recognized for that portion of it.
Jerry Doctrow – Stifel Nicolaus: Okay. So maybe we start third quarter or fourth quarter kind of next year.
Edward Aldag: Correct.
Jerry Doctrow – Stifel Nicolaus: Okay, and let’s see. I guess the other thing just sort of a broader question. My sense was sort of strategically what you were doing was moving towards more acquisitions and kind of higher quality systems and that sort of thing maybe taking a little bit lower yields. What we got in the quarter I guess is kind of a development project. I guess I’m trying to understand sort of maybe how you’re thinking about acquisitions versus development, that kind of risk versus return trade off and whether in the pipeline we’re seeing kind of larger credits or smaller credits or just a little more color kind of just strategically what you’re trying to do.
Edward Aldag: Jerry, in the pipeline it’s larger credits than maybe what you’re seeing in the past with us, it’s more established operators. We’re going to do development projects. As I have said, historically, this country is in bad need of development projects. What you probably won’t see us doing is many development projects as we did in our initial years, so you’re going to see really – if you look a year out, a good complement of all of that you just mentioned.
Jerry Doctrow – Stifel Nicolaus: Okay. In terms of just mix of assets LTAC, General Acute, that sort of thing I mean can the – I thought when net equities did not get done, we’d see a quicker ramp up of your stuff in the ERFs (ph) and LTACs and that kind of thing.
Edward Aldag: Well, you don’t see continuing on our portfolio looking very similar to what it looks right now from a dollar standpoint about 75% acute care, with the rest of it being split out fairly evenly between the various post-acute. Our pipeline is never been dependent on the success or failure of net equities.
Jerry Doctrow – Stifel Nicolaus: Yes I didn’t mean to (inaudible) it was but okay fine that’s all for me thanks.
Steven Hamner: Remember also that we announced last quarter three ERFs (ph) very high quality at very attractive yields. So you are absolutely right, we have increased that.
Operator: (Operator Instructions) Your next question comes from the line of Michael Mueller with JPMorgan.
Michael Mueller – JPMorgan: Hey guys. A few questions; first of all on the tenant for the Phoenix Hospital Visionary Group, can you give us just a little bit more background on them? I think you said they have one other property in the market, do they have other properties elsewhere, how long has the company been around etc.?
Edward Aldag: They only have the one other property, the two leaders of the company are – one has years of hospital CEO experience and the other one has years of emergency room and family practitioner medicine experience. They’ve been operating the other hospital since about four years ago and this is their second hospital. This is their second together.
Michael Mueller – JPMorgan: Got it. And you said you’re in discussions with them for another hospital. Would that be a development as well or is that an acquisition?
Edward Aldag: Yes.
Michael Mueller – JPMorgan: Yes, a development?
Edward Aldag: Yes on possible all of that.
Michael Mueller – JPMorgan: Yes on the possible all of that, got it. You mentioned the River Oaks – the rent on that would be about what or in excess of what the north and south was combined. Can you remind us what that rent was on the old properties?
Edward Aldag: It was a little less than $4 million. The operators that we’re in negotiations with now would, based on the term sheets that we’ve got outstanding would be paying a little bit more than that. We’d also have a slightly higher basis because of the $17 million refurbishment that we’re about to commence. But we look to have double-digit cap rates on that on top of the new basis that we’ll have. It’s going to end up being one of our better properties actually.
Michael Mueller – JPMorgan: Okay. So if we’re thinking about this at the margin, at the margin there is an incremental $17 million that goes out the door. And the incremental I guess by the end of next year the run rate – you’ll have an incremental of about $4 million of rent coming on line.
Edward Aldag: That’s the expectation.
Michael Mueller – JPMorgan: That’s the expectation, okay got it. And then I think Ed you mentioned next year hoping to get the more normalized acquisition levels and what do you guys consider to be more normalized acquisition levels?
Edward Aldag: In the $300 million range.
Michael Mueller – JPMorgan: 300, okay. And last question on my end, I guess after the write-down of the accrued rent at Monroe, are you booking any rent on that facility at this time, and did you book any in the third quarter?
Edward Aldag: We continue to book the base rent and we’ll continue to do that for the foreseeable future.
Michael Mueller – JPMorgan: Okay, so it’s just accrual, okay. Okay, great, thank you.
Edward Aldag: Thanks Mike.
Operator: Your next question comes from the line of Tayo Okusanya with Jefferies and Company. Please proceed.
Tayo Okusanya – Jefferies and Company: Yes, good morning, gentlemen. Glad to see everything moving in the right direction. Just a couple of quick questions. The tenants that you – the prospective tenants that River Oaks, again I know you can’t disclose any of their names or anything, but just kind of give us a sense whether all these tenants would be new tenants that would diversify your tenant mix, number one. And then number two if you just kind of give us a general sense of their credit profile, are they public companies, are they kind of smaller operators, what are they?
Edward Aldag: Tayo, one of the – and let me – to be sure everybody understands, the three tenants that we have LOIs on that we’re recurrently trying to finalize the leases with, that would represent approximately 80% of the space, so we still have some additional vacancy there that we can still fill, which will increase the rental numbers that Steve went over just a moment ago. Off the three, off those current three tenants one of them is an existing MPT client, none of them are public companies, but all of them are very experienced in their fields.
Tayo Okusanya – Jefferies and Company: Not public company. So the $4 million number that Steve was referring to before, that’s just in regards to the these three LOIs, not the additional 20% of sales?
Edward Aldag: That’s correct.
Tayo Okusanya – Jefferies and Company: Okay, that’s helpful. And then your overall basis in River Oaks after these 17 million of reinvestments would be what, roughly about $40 million?
Edward Aldag: About $45 million.
Tayo Okusanya – Jefferies and Company: $45 million, okay that’s helpful. And then the swap that happened during the quarter or the property swap, could you talk a little bit about what the logic behind that was?
Edward Aldag: It was a request by the master lessee, Tayo. We have three properties under master lease, one of them was performing very poorly, has been since we acquired it, but it was a lease we acquired in the HCP acquisition two years ago. We have the parent guarantee; it’s a very strong public company guarantee. They want to close the hospital and they can’t do that without our consent, so they replaced that particular facility with a much better stronger facility. We got a number of very nice concessions in regards to that, and so including an increase in their cash investment in the new facility of over $9 million, so we’re very satisfied with that. It was strictly something we did at the request of the tenant, but much to our benefit.
Tayo Okusanya – Jefferies and Company: Okay. So apart from the $9 million core investment commitment could you talk about some of the other transactions you got?
Edward Aldag: We’ve got an extension of the lease. We got a modification to the minimum repurchase a provision in the lease. It was such a grand slam homerun for us all the way around, and the reason was the hospital – the initial hospital was really performing very poorly for the operator.
Tayo Okusanya – Jefferies and Company: Great. And then last question with Monroe, just – if you just remind me and I might be off-based on this, but is there a loan receivable balance related to Monroe? Could you tell us what that balance is at as of the end of the quarter?
Edward Aldag: Well, remember two quarters ago we took a $12 million impairment charge on that and so the net balance is about $27 million.
Tayo Okusanya – Jefferies and Company: Okay. And so it’s a $27 million balance and your accruing interest on that at this point?
Edward Aldag: We are not.
Tayo Okusanya – Jefferies and Company: Okay. Thank you very much.
Edward Aldag: Thanks Tayo.
Operator: Your next question comes from the line of Kevin Ellich with RBC Capital Markets. Please proceed.
Kevin Ellich – RBC Capital Markets: Good morning, thanks for taking my questions. Ed, in your discussion you talked a little bit about utilization trends with your hospitals, just wondering how that’s gone throughout the year, and also if they provided you an update with how things are trending in the latter part of the year?
Edward Aldag: Yes, the numbers that I gave you were at the end of the third quarter, so that goes all the way through the end of October, and they have trended up across the board on all of our facilities slightly.
Kevin Ellich – RBC Capital Markets: Okay. So that’s through the end of October and not September?
Edward Aldag: It sounds right, through the end of September.
Kevin Ellich – RBC Capital Markets: Okay. That’s good. And then you also indicated bad debt’s gone down. Did they say, give any explanation as to what’s driving the improvements when we high unemployment and maybe more people losing jobs?
Edward Aldag: Well Kevin if you look at the total analysis of that logic, going through that it assumes that everybody that’s become an uninsured or unemployed person has been a hospital customer, and that’s just generally not the case. If you take everybody on this call, if we all were to become unemployed and then uninsured, how many of us would that actually affect hospital operations. So when you take the total unemployment number while it’s certainly historically a very large number right now, it’s not a very large percentage in the total effect of the hospital patients.
Kevin Ellich – RBC Capital Markets: Okay, understood, understood. And then I had a question on the exchange that you guys did with community health, I guess what led to that and are there any other properties that you’re looking at doing a similar exchange?
Edward Aldag: Kevin we just went through the reason and the detail behind that with the answer with Tayo, so rather than repeat all of that for everybody else on the call, we’ll be glad to go over with [inaudible].
Kevin Ellich – RBC Capital Markets: Sorry.
Edward Aldag: And no we don’t have any other properties at this point scheduled for anything like that.
Kevin Ellich – RBC Capital Markets: Okay. Thanks guys.
Edward Aldag: Sorry Kevin.
Operator: Your next question comes from the line of Karin Ford with KeyBanc. Please proceed.
Karin Ford – KeyBanc: Hi, good morning.
Edward Aldag: Hi Karin.
Karin Ford – KeyBanc: Who was the buyer of Sharpstown and what’s the planned use for that going forward?
Edward Aldag: Yes, it’s a non-healthcare entity Karin, and I honestly don’t know if we have the ability to disclose it or not, but it’s a non-healthcare entity.
Karin Ford – KeyBanc: Okay. So it won’t be a medical facility going forward.
Edward Aldag: That’s correct.
Karin Ford – KeyBanc: Okay. When you’re looking at your investment options between acquisition and development, what type of risk premium do you think you need today between acquisitions and development?
Edward Aldag: It’s not as simple a question as that, because there are a lot of different parameters that go into the strength of the developer, the experience of the operator/developer, and the capital of that particular developer has. But in a very wide vacuum, it’s probably anywhere from a 150 to 250 basis points.
Karin Ford – KeyBanc: That’s helpful. Can you just talk about in the acquisition arena what’s been the trend on volumes of product available and other potential buyers?
Edward Aldag: Karin, in our market which is generally is hospitals and generally the acute care and LTACs and rehabilitation hospitals, our pipeline of acquisitions is as strong today or stronger than it has ever been. We are extremely excited about where we are in that particular position and it’s hard to give you much more detail than that other than to say stay tuned. From the other buyers, we’re still not seeing really any other buyers in the acute care sector. There are a number of the existing rates out there that are interested in the post-acute, and a number of private REITs that are interested in the post-acute.
Karin Ford – KeyBanc: Helpful. Last question just relates to the operating expenses; can you just clarify is now with River Oaks under redevelopment what’s the run rate of operating expenses going forward?
Edward Aldag: Well, we’re uncertain on the River Oaks part of the campus. It’s been about a million or two per year. Some of that will go away as the construction gets going. Most of the rest of it will be capitalized into the construction cost. All of it, virtually all of it will become the responsibility of the tenants as construction is completed and the tenants take occupancy.
Karin Ford – KeyBanc: Got it. So most likely it’ll go down to the zero, because it’ll be – from an expense standpoint, because it’ll be capitalized during redevelopment and then go to the tenants after that.
Edward Aldag: That’s correct.
Karin Ford – KeyBanc: Okay. And just remind me is your operating expenses related to any other asset in that line or does that basically go to zero?
Edward Aldag: There is miscellaneous stuff, but I mean you shouldn’t expect more than really de minimis once the River Oaks has gone away or become capitalized.
Karin Ford – KeyBanc: Got it, thank you very much.
Operator: Your next question is a follow up from the line of Jerry Doctrow. Please proceed.
Jerry Doctrow – Stifel Nicolaus: Thanks. Just on Monroe, I know you’ve talked about in the past negotiating with various potential buyers or new tenants or that sort of thing, any color on that or just any sense of timing as to when we might get some resolution?
Edward Aldag: Jerry, there has been some movement, but nothing that I can disclose right now. Hopefully, in the very near future you’ll see something.
Jerry Doctrow – Stifel Nicolaus: All right, thanks.
Operator: This now concludes the Q&A session. So I will now turn over the call to Mr. Aldag for closing remarks.
Edward Aldag: We again thank all of you for being on today’s call. And as always, if you have any follow-up questions later on in the day, feel free to call Charles, Steve or myself. Thank you very much.
Operator: Thank you for your participation in today’s conference. This concludes the presentation. You may now disconnect. Good day.